Operator: Good morning and welcome to the First Interstate Bancsystem Second Quarter 2016 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Kenzie Lawson. Please go ahead.
Kenzie Lawson: Thanks, Bianca. Good morning. Thank you for joining us for our second quarter earnings conference call. As we begin, I would like to direct all listeners to the cautionary note regarding forward-looking statements and factors that could affect future results in our most recently filed Form 10-K. Relevant factors that would cause actual results to differ materially from any forward-looking statements are listed in the earnings release and in our SEC filings. The Company does not intend to correct or update any of the forward-looking statements made today. Joining us from management this morning are Kevin Riley, our Chief Executive Officer; Marcy Mutch, our Chief Financial Officer; and Steve Yose, our Chief Credit Officer, along with other members of our management team. At this time, I will turn the call over to Kevin Riley. Kevin?
Kevin Riley: Thanks, Kenzie and good morning and thanks again to all of you for joining us on our call today. We had strong second quarter on both the GAAP and core earnings basis. We reported earnings per share of $0.57 for the second quarter which included a $3.8 million recovery due to a settlement on prior year's litigation. On a core earnings basis, excluding the impact of this recovery and other small non-recurring items, we reported earnings per share of $0.52 which was an increase of 16% over the prior quarter and 6% over the prior year. As we typically see the second quarter is a seasonally strong period for the company and we saw positive trends in loan production, fee income and operating efficiencies. We generated 3.2% quarter-over-quarter loan growth with well balanced contributions coming from nearly all of our lending areas. We saw particularly strong growth in our commercial real estate, construction, consumer and agricultural portfolios. The loan growth was fairly well disbursed across our Montana and South Dakota markets, while loan demand in our Wyoming markets remained more subdued due to the slowdown in the energy industry. Although there has been some broader concern in the bank industry related to auto lending which makes up a significant portion of our consumer loan book, in agricultural lending we continue to see good performance in these portfolios. Through the first six months of the year, our net charge-offs in our indirect auto loan lending portfolio has been 12 basis points of average outstanding loans. We don't do any subprime auto lending, so we haven’t seen the weaknesses that some of the newer more aggressive entrance into the markets have seen due to their low underwriting criteria. Approximately 10% of our portfolio which fall into what we would refer to as the paper or our lowest indirect creditor. That being said, we continue to closely monitor new origination activity and the performance trends in the indirect portfolio to ensure that we maintain a strong credit quality that we have historically experienced. With regard to agricultural lending, our ag portfolio has consistently been one of our better performing commercial portfolios, averaging just 11 basis points of annual loss over the past three years. Our ag customers are very experienced and seasoned and have very solid balance sheets. They have ample cushion to absorb the decrease in cash flows caused by the decline in cattle and crop prices. We went through many cycles with our ag customers and they have proven to have a very low credit risk regardless of the strength in the broader commodity markets. For the asset quality, we are going to have Steve Yose, our new Chief Credit Officer talk a little later about our credit trends but I want to take a minute and give you a quick update on oil and gas portfolios as we have in the last few conference calls. Energy continues to remain a headwind for a few of our markets. Quarterly we continue to actively manage down our exposure to energy markets in our total outstanding loans to customers directly involved in oil and gas industry declined again this quarter to $66 million as of June 30, that's down $3 million from the end of the prior quarter. As a percentage of our total loan portfolio, oil and gas declined to just 1.2%, down from 1.4% at the end of 2015. The percentage of criticized loans in this portfolio increased to 62.9% of the portfolio or $41 million as of June 30 and this is up by net $1 million from the prior quarter. This is largely attributed to the conservative approach we have through managing this portfolio. Although, oil prices have nearly doubled since the pricing deck we used in the first quarter, we have not yet made any upward adjustments in our collateral valuations. Until we develop a more confident and sustainability - more confidence and sustainability of the recovery in oil prices, we will continue to use the more conservative valuations and remain appropriate reserve in this portfolio. Outside of the energy space, other sectors in our company continue to perform well, offsetting much of the decline in the energy sector and highlighting the economic diversity of our region. Strong growth has been seen in tourism industry, as well as retail and professional services, namely consultants, lawyers, engineers and architects. Tourism in our region remain strong, thanks to the continue low fuel prices with each of our national parks and monuments witnessing record attendants this year. And for the first six months of this year, visitation at the Yellowstone Park alone are up 10% year-to-date. Labor continues to also remain favorable in our region. In June, South Dakota had the nation's lowest unemployment rate at 2.7% while Montana had 17 lowest unemployment rate of 4.2%. Wyoming unemployment is 5.7% and continues to underperform to the national average. The last thing I'd like to mention is that we made a decision this quarter to sale our mortgage office in Sioux Falls. Many of you may recall that we went in this market on a trial basis in 2015 based on the availability of the talented residential mortgage lending team. Over the past year and half, the performance of this office hasn't warranted continued investment into this market. Fortunately, we had the opportunity to sale this office to another organization wanting to enter the Sioux Falls market. This transaction closed in mid June. So with those comments, I'd like to turn the call over to Marcy for a little more detail behind the numbers. Go ahead, Marcy.
Marcy Mutch: Thanks, Kevin and good morning, everyone. As I walk through our financial results, unless otherwise noted, all of the prior period comparisons will be with the first quarter 2016. I'll begin with our income statement, but first I want to note the change in accounting treatment that took effect this quarter. Previously, we had recorded growth income attributable to deferred compensation plan assets in our non-interest income with the direct offset reported in employee benefits. The offsetting entries had zero impact on our overall financial statements that because swings in the market values of those assets could be so significant, it created a lot of noise particularly when comparing prior period performance. In order to reduce the volatility within our non-interest income and benefit line items beginning this quarter we are now recording income earned on deferred compensation plans in non-interest income, net of the employee benefit expense directly related to those earnings. While this change is really immaterial, it does take some of the noise out of the other income and employee benefit line items and allows a more consistent reflection of our efficiency ratio. We have revised all of the prior period amounts and ratios to be consistent with the new accounting treatment. Now let's look at our second quarter financials. Net interest income decreased $270,000 on a linked quarter basis. The decline was largely due to a decrease in earning assets which is attributable to the seasonal decline in deposits. We had a one basis point increase in our net interest margin on both our reported and core basis with the core net interest margin excluding accelerated discount accretion and recoveries of charged-off interest. The increase in our net interest margin was largely driven by the increase in our loan-to-deposit ratio. Our non-interest income increased $8.9 million from last quarter, $3.8 million of which was due to a recovery related to prior litigation. We had a very strong quarter across all of our major fee-generating areas. On a year-over-year basis, we had 2.5% growth in payment services revenues, 6.9% growth in mortgage banking, 5.5% growth in wealth management and 14.1% growth in deposit service charges. Mortgage banking revenue was up $3.3 million or 53% from the prior quarter. Consistent with the increase we see in the second quarter, our overall mortgage production increased 41%. Most of the volume continues to come from new purchase activity which accounted for approximately 67% of our mortgage production in the second quarter up from 59% last quarter. We also saw 40% basis point increase from the prior quarter in the margin on loan sales into the secondary market. Despite the general decline in mortgage rates, we've been able to get relatively good pricing on our loan originations which is helping us generate higher margins on our loan sales. In aggregate, recurring non-interest income was up 6.1% year-over-year and 19% from the prior quarter. This reflects the continued progress of the initiatives we put into place last year to generate more non-interest income, as well as positive housing trends in our local markets which is driving growth in our mortgage banking revenue. Our non-interest income is now up to more than 31% of our total recurring revenue and continues to increase the diversification of our revenue mix. Our non-interest expense increased by $1.2 million from the prior quarter primarily due to higher incentive compensation accruals. So on a core basis, our revenue growth exceeded our expense growth resulting in an improvement in our efficiency ratio to 60.8% in the second quarter down from 62.7% last quarter. I also want to note that we recorded the provision for loan losses of $2.6 million in the second quarter which Steve will discuss further with you in a few minutes. So let's move to the balance sheet. As Kevin mentioned, total loans increased 3.2% from the end of the prior quarter. The increase was broad-based with all of our portfolios up during the quarter with the exception of the commercial portfolio which was essentially flat. While we typically see a seasonal increase in loans during the second quarter, we also see a seasonal outflow of deposits. This quarter our total deposits declined by 1.8% compared to a 2.4% decline during the second quarter of last year. Year-over-year, however, deposits are up 2.6%. The decline this quarter was primarily in non-interest bearing deposits. Since we use our cash balances and proceeds from the investment portfolio to fund the deposit outflow, there was a decline in both asset categories during the second quarter as seasonal deposit slow picks up in the second half of the year, we will redeploy some of the funds back into our more liquid assets. And then finally we had a small amount of activity in our stock repurchase program in the second quarter repurchasing 28,000 shares of our common stock at a weighted average price of approximately 2650. And with that, I will turn it over to Steve Yose for a discussion of our credit trends.
Steve Yose: Well, thanks Marcy. Let me start off by saying that I am happy to be back home so to speak. I grew up in Wyoming, although I have never been very far from this area of the country. I came to First Interstate from KeyBanc, where I was responsible for overseeing credit administration, credit approval, underwriting, portfolio management and credit quality for the Rocky Mountains and Pacific regions. In that role I covered rural markets and agri business, so to a large extent I was dealing with the same types of markets and customers that we see here at First Interstate. My goal is to implement the best practices of a larger regional bank throughout all areas of credit administration in order to enhance our overall credit risk management while maintaining our community bank culture. With that in mind, I want to take a few minutes to walk through some enhancements we have begun making to our credit administration policies and procedures. The first change relates to our credit approval process. Previously we had characteristics in the type of credit approval guidelines that you see at a smaller community bank. The process had not been changed for several decades. We have now implemented a new structure that provides joint accountability for both the line of business and credit administration and clearly outlines the first and second lines of defense. The new credit process better allows the frontline officers, as well as credit admin to execute the risk management goals of the board and our executive management. It will also make us more responsive and more efficient in credit decisions, as well as putting in place best practices relating to credit discipline. This process should serve us well as we continue to grow in the future. A second change that we are implementing which will occur over the next couple of quarters is refinement of our risk rating system. We will be expanding the number of risk ratings that we assign to non-criticized credits. This will provide us with greater granularity at our non-criticized credits and create better early warning indicators in our portfolio. Ultimately, this will enable us to identify and react more quickly to changing trends in the portfolio. And finally this quarter we did a deep dive into the subjective factors used in determining the allowance for loan loss. As a result we made adjustments to the qualitative analysis portion of our allowance methodology. Based on our post crisis loss history, our quantitative factors adequately provide for expected losses within the commercial and construction portfolios, allowing us to decrease subjective factors attributable to these portfolios. At the same time, we have increased the qualitative allocation attributable to the energy sector so that we better capture the stress weaknesses that the energy sector could have on other portfolios besides those directly related to the energy sector. There are a number of other puts and takes in the changes across our subjective factors, which when combined with our assessment to specific loss allocations on loans essentially netted out and the total allowance wasn't impacted in a material way. From an overall perspective, the changes we made to our policies and processes should strengthen our risk discipline and produce a more consistent approach to credit risk management. Now taking a look at the trends and asset quality in the second quarter both our non-performing assets and non-accrual loans increased by approximately $2 million from the end of the prior quarter. Most of the increase was driven by four commercial real estate loans to the hospitality sector that were placed on non-accrual status. The majority of these loans were recognized as classified loans in the prior quarters. Our criticized loans increased by $12.5 million primarily related to commercial and commercial real estate borrowers. Approximately 22% of the increase was related to loans in the energy sector. Our net charge-offs this quarter were 16 basis points of total loans or $2.1 million. There was no one portfolio that had an unusually high level of charge-offs this quarter compared with past history. As Marcy mentioned, we recorded $2.6 million of provision expense which brought our coverage of non-performing assets to 93% and our allowance to loan losses to 1.48% of total loans. This was a slight decrease from last quarter and despite our quarterly loan growth and the increase in criticized loans, we feel confident that the long-term migration analysis considered in our quantitative factors along with the appropriate increases and certain qualitative factors that I mentioned earlier, results in an adequate level of reserves for our portfolio and continues to put us in the top quartile of our peer group. With that, I will turn the call back over to Kevin. Kevin?
Kevin Riley: Thanks Steve and Marcy nice job. I’m going to wrap up with a few comments about our outlook. So far the year is pretty much tracking according to our expectations. We had a seasonally slow first quarter and a seasonally strong second quarter as we typically see. If historical patterns hold we will see a little softening in loan growth in the third quarter with additional growth between 1 and 2% for the remainder year. This puts us on pace for the mid-single digit loan growth that we typically see. We are scheduled to close our acquisition of Flathead Bank in mid-August so this will provide an incremental source of loan growth. We expect to see a continuation of most of the positive trends we experienced in the second quarter particularly respect to revenue generation and operating efficiencies. With interest rates declining we should continue to see strong production in our residential lending business. We are executing well on our business development and efficiency initiatives and we think we are well-positioned for a good second half for 2016.And lastly, we continue to be on the lookout for acquisition opportunities both within and adjacent to our current footprint. We also believe we are doing a good job in focusing on the three priorities that we outlined at the beginning of the year, people, processes and technology. The changes we are making in these areas across our organization will allow us to be scalable as we pursue growth opportunities both organically and through acquisitions. So with that we will open it up for questions.
Operator: [Operator Instructions] The first question comes from Jeff Rulis with D.A. Davidson. Please go ahead.
Jeff Rulis: Thanks, good morning. Do you have payoff activity balances for this quarter versus Q1? Or if you don't have the exact balances either the - just kind of roughly did that soften quarter to quarter by any means?
Kevin Riley: Jeff, payoffs on what?
Jeff Rulis: Loan payoff activity. Was that sort of equal quarter to quarter and then just had more production, therefore, a bigger net loan growth figure due to seasonality? Just trying to get that pay off; what was the kind of cannibalizing growth both Q1 and Q2?
Kevin Riley: We don't have it. But I don't think it was anything unusual this quarter.
Jeff Rulis: Safe to say it was flat?
Kevin Riley: Yes, it was flat to prior quarters.
Jeff Rulis: All right. And then, Kevin, I think you mentioned last quarter on margin that you would expect - this was on the Q1 call I guess - in terms of margin levels to stay between 1 and 2 basis points of the Q1 level; that seemed to play out into Q2. Is that still your expectations as we get into the back half of the year here?
Kevin Riley: Yes, and you know quite frankly it might come down a little bit in the third quarter as deposits come in and we deploy as maybe a lower yielding asset. So I would still contend that you know we might have one or two basis points up or down depending on what happens in the quarter. But we don't see a real deterioration in the asset yields right now.
Jeff Rulis: All right. Then a last one on - given the credit I guess analysis that you have - with Steve's hiring that you've looked at things, does that change the provision levels? There's been some other events year to date that maybe have driven that a little higher. But I guess any expectations for the provision levels going forward? Is it within the range that we've seen in Q1 and Q2?
Kevin Riley: Probably more that we’ve seen in Q2 than Q1.You know the thing is that - people talk about the maybe the increases some of the criticized and classified as well done a performing assets. You know we bring new, as we all know we brought a new Credit Officer in and he's little more discerning on the portfolio. So the slight increase that we saw are his chance to make his mark. So we don't anticipate this being a negative trend going forward. Steve's been true to whole portfolio, as well as our special assets group. And so I think if he’s just putting his mark on the portfolio, so I don't see that we have negative trends in our portfolio going forward.
Jeff Rulis: Got you. Okay, thank you.
Operator: The next question comes from Jared Shaw with Wells Fargo Securities. Please go ahead.
Jared Shaw: Good morning. Could you just give a little update on the hospitality exposure? We had the loans that moved in to non-performing this quarter. What's the total exposure to hospitality? And then also, with the strong trends in tourism that you're talking about, what's your expectation for resolution of those loans? Should we expect to see any more negative migration from that category?
Kevin Riley: Again those hospitality loans were criticized as to the past, we just had a little bit of - a heavier hand, I’m looking at - again I don’t think there is a trend but what is the total of a hospitality portfolio? I’m looking at my team here. We don’t have that number.
Marcy Mutch: We can get back…
Kevin Riley: We can get back but again let’s talk about the trends of tourism. There is 10% growth there we’ve seen this year in tourism is on top of - about a 20% growth that we saw last year which was a record year. So tourism is quite strong in our markets. So we only anticipate hospitality really the client much user assets that have been kind of - on the problem for a while, we just moved them into non-accrual.
Jared Shaw: I guess those are definitely specific to those credits as oppose to the performance…
Kevin Riley: …overwriting trends. That's correct.
Jared Shaw: All right, thanks. And on the indirect auto, you continue to see growth in the balances and then just trying to back into what cash flow from that is, it seems like you're putting on maybe $80 million of production a quarter. Where you getting --? Are you continuing to expand the dealer network or are you going deeper at all into some of those maybe D credits? How are you seeing the continued growth and where should we expect to see that cap out as a percentage of loans?
Kevin Riley: Well, we’re not going deeper into the credit. We are expanding maybe the dealer network a little bit but mostly it's growth. And you know one thing I’d like to mention before you get to directors that we've looked at indirect by the different markets and we’ve talked about in prior calls looking at indirect as a kind of a sign that cars might be weakening in some of our energy market. And what we actually have seen is that the delinquencies on indirect lending has actually come down since yearend. Yearend we kind of saw the higher level of delinquencies in those energy markets. And all those energy markets so they’re impacted actually the delinquencies of indirect are actually decreasing.
Marcy Mutch: And Jared we don’t go outside of our footprint again for those you know, we go a little bit into Idaho but for the most part we're in Montana Miami and South Dakota. And as far as the de-paper that’s been a consistent unit that 10% Kevin quoted it’s been consistently there for the last five years.
Jared Shaw: Okay. I'm sorry, I didn't say D, I meant sort of B, like bravo, the second tier. Getting maybe just a broader base.
Kevin Riley: Actually I think there was a 75% is in A Paper and then you know and the quote between BC&D which are small percentages.
Jared Shaw: Okay, thanks. Then finally just as we look at the deposit inflows, where should we expect to see that going? Is that for the near term going into Fed funds or securities while you're waiting for loans or --? What does the cash flow picture look like on the new deposits coming in?
Kevin Riley: The new deposit will probably go into overnight and investment securities as we’re waiting for loan, as we wait for loan growth.
Jared Shaw: Okay. Thank you.
Operator: The next question comes from Matthew Forgotson with Sandler O'Neill. Please go ahead.
Matthew Forgotson: Good morning, all. Wondering if you could give us a little color on your loan pipeline, the complexion, the rate, any particular geographies. Appreciate some color there.
Kevin Riley: Steve, do you want to give that?
Steve Yose: At the moment I think we see the most demand on our loan pipeline in Western Washington both in Missoula and Bozeman markets.
Kevin Riley: Western Montana.
Steve Yose: Did I say Bozeman?
Kevin Riley: Yes.
Steve Yose: Sorry. I was located here from Washington. Western Montana markets, a little bit less demand in Wyoming markets as you’d expect. We also see some increase in South Dakota. So most of our markets for the economy are all doing fairly well. We see pretty good growth in pipeline in those markets and those related to the energy sector are holding steady I would say from a pipeline standpoint.
Matthew Forgotson: Can you give us some color on the blended new origination yields relative to the portfolio yields?
Marcy Mutch: You know, other loans that we put on in the second quarter had a weighted average rate of about 4.76%.
Matthew Forgotson: Okay. So I guess, in light of the reclassification, Marcy, can you give us a sense - is that $61 million to $62 million non-interest expense guidance still intact?
Kevin Riley: I think around $62 million is still intact yes.
Matthew Forgotson: Okay. And then I guess just zooming out a little bit, would you mind giving us a sense of your take on Casper, Gillette, and Riverton; how those markets are holding in in light of the decline in the energy prices? And kind of what the balance of your footings are in those markets in the aggregate?
Kevin Riley: Hold on. Well, I will give you the overview. I mean they are holding in like I said we looked at our indirect portfolio and delinquencies they’re holding in there. I don’t think there’s much growth there. But we did as Steve mentioned earlier we do - we did at the more detailed qualitative factor on those markets. So do we have a total…
Marcy Mutch: You know 13 or 14% last quarter. I don’t think it’s changed significantly since then. But Matt, I'll follow up with you on that.
Kevin Riley: Yes, 13 to 14% maybe we’ll follow-up of the total portfolios in those markets.
Steve Yose: But growth has been flat and as Kevin mentioned in the indirect portfolio we’re actually seeing delinquencies in those markets improve as well as in our rest of our portfolio we've seen being stable. But with that we did take an increase in our allowance and our subjective factors, probably an increase $1.5 million. Looking at all portfolios there could be an energy impact but we have not seen significant impact yet with that portfolio outside of the energy sector.
Matthew Forgotson: Okay. I guess, lastly, can you just provide me with the balance for the unfunded direct oil and gas?
Marcy Mutch: Yes.
Kevin Riley: It’s a 26 million.
Matthew Forgotson: Thank you very much.
Operator: The next question comes from Matthew Clark with Piper Jaffray. Please go ahead.
Matthew Clark: Hi, good morning, Kevin and Marcy. Maybe first on expenses, just curious how much variable mortgage comp contributed to that $35 million this quarter. And as we think about the run rate going forward, your $62 million comment I assume excludes the pending acquisition, so I just also want to get an update on timing for that close.
Kevin Riley: Okay. First of all the variable comps to mortgage origination actually gets netted against the mortgage revenue. So it really doesn’t have much impact on the compensation. The mostly increase in conversation was increase in incentive compensation accrual. So again the mortgage business doesn’t have much impact there. What was the other part of question?
Matthew Clark: I just thinking about the pending deal. It does sound like there is some expenses that are going to come out of that run rate, legacy First Interstate going forward. But again obviously you have a pending acquisition, so I just wanted to make sure that we are all thinking about that.
Kevin Riley: Yes, the pending acquisition, yes the acquisition is going to close on August 12 and we should have most of the expenses out of that acquisition by the next time we talk September 30. They should - all the expenses associated we're going to achieve will be done.
Matthew Clark: Okay. Then just in the margin, is there - just thinking about the prepayment penalty income, curious if there was a significant amount of that at all relative to last quarter or not.
Kevin Riley: It’s pretty very much outlined right in the earnings release. It’s pretty much balanced I think between quarter-to-quarter, between the first and second quarter are pretty much where close to be in the same amount.
A – Marcy Mutch: So, 549 about second quarter 2015.
A – Kevin Riley: Marcy is reading.
A – Marcy Mutch: Yes, trying to read.
Matthew Clark: Sorry, if it's in the release. You're not talking about accretion when you're talking about prepayment penalty income?
A – Kevin Riley: There is both, there is interest recovery as well as accretion and are both pretty much outlined greater than a thing and it’s pretty flat you think to into account.
A – Marcy Mutch: 770.
Matthew Clark: Sounds good. And can you update us on where the reserves stood on the energy portfolio, if it was 11.7% last quarter?
Marcy Mutch: That's a 11.3% this quarter.
Matthew Clark: Okay. And then in net charge-offs you mentioned that they were lumpy and related to kind of like a bucket of loans or pooled loans. Can you just provide some additional color there?
A – Marcy Mutch: Just there was nothing unusual, that was there last year we had more recoveries so that’s why it's seemed a little bit higher this quarter.
A – Kevin Riley: It was pretty broad, there wasn’t any one big loan or it was pretty - just you could say consistent with budget and other areas, there was nothing lumpy there though.
Matthew Clark: Okay. And then just last one, the four commercial real estate properties, where are those located? And is that Wyoming-specific tied to coal? Just trying to get a better sense; it sounds like these loans have been troubled for a while.
A – Kevin Riley: Well actually once at South Dakota, its across the board once South Dakota, once in Wyoming in Cheyenne and the other ones in Montana. So, it's kind of general and three, we have one in each state of those four and from our outstanding amount it's about equal in each of the states.
Steve Yose: And in them are in the energy markets.
Matthew Clark: Got it, great. Thank you.
Operator: The next question comes from Jackie Chimera with KBW. Please go ahead.
Jackie Chimera: Hi, everybody good morning. I know that you had mentioned that the gain-on-sale margin was up 40 basis points in the quarter. How much was it - was the margin? Or what was the margin?
Marcy Mutch: Hold on, I had that, it was 349.
Jackie Chimera: Okay. Is that something that you think could be sustainable, given where rates are today as we head into the quarter?
Kevin Riley: I think the saying is that - I think it could be sustainable because - we are far more focused on our mortgage production and how we are managing our mortgage portfolio. So, I believe that the enhanced focus hopefully will play out to keep margins better than they had been in the past.
Jackie Chimera: Okay. And did MSR marks have a negative impact? I'm assuming the MSR marks are netted into that line item or are they captured somewhere else, in other income perhaps?
A – Kevin Riley: We did not have an MSR markers, we have go ahead market. We have a real excess in our MSR portfolio so you want to go with those numbers Marcy?
Marcy Mutch: Yes, it’s about $8 million. I think its booked for around 15 and the fair market value is $23 million.
Jackie Chimera: Okay, so you haven't been hampered by that?
Marcy Mutch: No.
A – Kevin Riley: No, not at all. You have a lot of question left.
Jackie Chimera: Which is a good position to be in. Then just looking to wealth management, you had a nice quarter there as well. Maybe if you could just provide an update on - I know this has been a strong focus in the past, just where you stand on it; kind of assets under management and how you see that going for the rest of the year.
Kevin Riley: Wealth management growth.
Marcy Mutch: Yes, wealth management growth - it will say pretty steady. I think we’re up about $155 million since the beginning of the year. We just continue to focus on growing assets under management and that be pretty predicable kind of go forward basis.
Jackie Chimera: Okay. Do you have any other fee initiatives in play?
A – Kevin Riley: No, we just continue a lot of - we had a great growth in our service charter. We're focused - we continue to focus as we talked about even last year and continue to focus on. Part of it is just getting not that we're increasing our service charge revenue but actually collecting some of the service charges that are actually do as. We do are migrating, more of a customers to opt in. We had an opt in rate of up about little over 2% of our customers which most banks more than a 50% level. We have to increased the opt in rate by 100% where it was up till now was 5% and we increased our revenue in regards to income over that by 100%. So, we continue to talk to our customers about giving them the opportunity to opt in, so there is still some more room there. So we continue to use the focus on getting paid for the services that we provide. So, we’re not out trying to increase our service charges but just really to get paid by customers that in the past have enjoyed the banking services for free.
Jackie Chimera: How has reception been for that? I know it's been ongoing over the last several quarters, but I guess how are customers taking it?
Kevin Riley: Customers - I think once they are explained, understand, I mean there is some customers that believe that they shouldn't paying anything but overall we have not had a real concern about our customer base at all. I mean - again as I mentioned before, our customers are been customers with us for a long, long time and they understand we’re in the business to making money just like they are. So, I think that overall they are understanding our position, and we’re not seeing any outflow of customers.
Jackie Chimera: Okay, great. Thank you. That’s helpful.
Operator: [Operator Instructions] We have no further questions at this time. This concludes our question-and-answer session. I would like to turn the conference back over to Kevin Riley for any closing remarks.
Kevin Riley: As always we welcome calls from our investors and analysts. Please reach out to us if you have any other further follow up questions. And again thanks for tuning in today and talk to you soon. Bye.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.